: May 28, 2008 11:00 am ET 
Executives: Bill Retterath – Chief Financial Officer Jim Morgan – Chief Executive Officer
Analysts: Michael Friedman – Noble Financial Jim Ricchiuti – Needham & Co. Steve Altebrando – Sidoti & Co. Jim Boyle – C.L. King & Associates Steve Dyer – Craig-Hallum 
Operator: Good day ladies and gentlemen and welcome to the Daktronics fourth quarter and fiscal year 2008 earnings results conference call. (Operator instructions) I would now like to turn the conference over to Mr. Bill Retterath, Chief Financial Officer for Daktronics for some introductory remarks. Please go ahead sir.
Bill Retterath:  Thank you. Good morning everyone, we appreciate your participation in our fiscal year end conference call. We’d like to as is our custom make some preliminary comments about the quarter and the fiscal year and forward-looking statements after which we’ll open it up for a limited timeframe for questions. I would like to start by offering our disclosure cautioning investors and participants that in addition to statements of historical facts this call and our news release contain forward-looking statements reflecting our expectations and beliefs concerning future events which could materially affect our performance in the future. We caution you that these and similar statements involve risks and uncertainties, including changes in economic and market conditions, market growth, timing and magnitude of future orders and other risks as noted in our SEC filings which may cause actual results to differ materially. Forward-looking statements are made in the context of information available to us as of the date of this call. We undertake no obligation to update or revise such statements to reflect new circumstances or unanticipated events as they occur. With that I’d like to turn it over to Jim Morgan our Chief Executive Officer.
Jim Morgan:  Thanks Bill, good morning everyone, thank you for joining us this morning. As we wrap up fiscal 2008 and embark on 2009 I’d like to take a minute to provide some perspective on what we’ve accomplished here in the last few years and where we are heading.  It’s noteworthy that in the last three years we have more than doubled our sales and to maybe but that another way, since the end of fiscal 2005 we have grown more additional revenues than we have grown in all of our 36 year history up to that point. These have been three years of dramatic change for us as a company. As we looked ahead three years ago we realized that we had to make some significant changes in how we were going about some things, especially on the operations side. The needed changes revolved around manufacturing but product development is integrally involved with the ability of manufacturing to perform. And to get manufacturing to perform we also needed to enhance the support capabilities form our information systems and finance as well. As we look back today, the changes in our manufacturing and our product development from then until now are indeed dramatic. We’ve made great progress on our lean manufacturing journey and this was a journey that is ongoing as we know we can always find more ways to improve. We’ve invested in consultants, we’ve brought on key people in our quality engineering, our manufacturing engineering and materials management functions to improve our manufacturing processes and we continue to add in a few key roles that we still need to fill. We’ve also made significant cap ex investments in buildings and equipment to increase our capacity. Over that time we opened two factories outside Brookings, both happening to be in our commercial business. And we took initial steps towards some manufacturing in China. This off loaded work out of our Brookings facility so we could handle more of our other business here. So this was a necessary step for us to keep growing and with bringing on two new plants like this, utilization is initially lower. So this year we expect to see better utilization in all of our plans as we grow our revenues in our existing facilities and this has had a positive effect on our margin, offsetting some anticipated price declines. And Bill will talk a little more about gross margins. However, the results of this effort don’t significantly boost the bottom line right away, these are long term investments, these are investments in our future and they will add to our fixed cost. These costs will be offset as we go forward by increased efficiencies and overall through put in manufacturing in existing facilities.  One of our goals is to spend proportionately less on bricks and mortar going forward by better utilization of our facilities in which we are already seeing. We kicked off another important initiative this quarter to substantially enhance our sales and operations planning systems.  This is the next significant step in the development of our capabilities to better understand and to better manage the correlation between the unit capabilities of manufacturing and the corresponding financial performance and to implement more sophisticated tools that can help us manage the peaks and valleys of manufacturing which are inherent in our business as well as improve planning for future growth. Again, we are investing in consulting to help accomplish this. This effort will be complimentary to the other efforts that we’ve maintained through our lean manufacturing initiative and we expect it will bring even more visibility to opportunities for efficiencies in our manufacturing operation. A relatively new area of focus for efficiency is on our field service organization as well as corporate functions that support the field service efforts. As we announced yesterday, we will be consolidating our field services staffing to one organization and that will allow us to develop more flexibility in our field technicians and serve our customers more cost effectively.  People who were in dual sales and service roles will now focus in one role or the other and we will also be reviewing our network of offices and consolidating where appropriate. During the last few months we did in fact close a couple of offices and we did consolidate those activities with other offices. In addition to the restructuring, we are phasing in a new enterprise wide software system exclusively for managing our services business and will start phasing that in this quarter and this will help us better manage all aspects of our service business, including personnel utilization and inventory.  It’s quite a comprehensive system and it will be phased in in stages over the course of the year but we hope to be seeing some of the financial benefits of this in the second half of the year. And Bill will talk a little more about the effects of these changes on our cost structure. With that, I’ll turn it over to Bill to discuss the financials.
Bill Retterath:  Thanks Tim I want to run through a few things with more of a focus on the future. As Jim noted we made great strides in both capacity and efficiency over the past couple of years. We’re starting to see improvements in our manufacturing direct labor efficiencies. And overall the fixed costs including facilities and indirect labor continue to offset these savings. We expect to see a turnaround more as we move into the second half of fiscal 2009. Over the long term as revenues grow, this investment in indirect labor will drive down our direct labor, our inventory and other costs for net savings we think will be significant. Next I want to focus on the rates of growth for our different business units. As announced, we expect overall sales growth to be in excess of 20%, we think that we could grow backlog for the year, meaning that order growth should outpace sales. We think that our live events business unit could see sales growth in excess of 20%. It’s important to note, however, that there is approximately $80 million of potential orders out there in the large professional and college sports business that are exceeding, each of which would exceed $8 million that could convert to somewhere around $50 million plus of sales this year. We’re obviously not counting on the whole amount in our assumptions as that would not be realistic. So like last year, these large orders are very important to us in that business unit. This estimate for sales includes $20 million plus in sales on our recently awarded large order in the professional sports venue that we’d rather not name that we still need to execute the contract on.  This overall order volume and sales volume for fiscal year 09 compares to approximately $50 million of orders that were in excess of the $8 million mark which converted to $15 million of sales for fiscal of 08. So the big contract business is certainly a large driver of sales in our plans and we’re well underway with projects including the Yankees, the Mets and the Colts among others. And you can also conclude from these estimates that we think that business in contracts less than that $8 million level will also be growing. Moving on to forecasts for our commercial business unit, we’re expecting sales growth there also of more than 20% again with orders growing slightly more. Over the past year there has been considerable interest on the part of competitors to enter the digital billboard marketplace. In addition the volumes as most of you know have been growing with some of our larger customers, some of whom are willing to commit to volume levels in exchange for pricing considerations. As a result of these factors we expect that in future quarters our gross profit levels will decrease in the digital billboard marketplace. Overall, however, we’re still in good shape and are satisfied with our current position. I think we are at gross profit levels that will be sustainable for the long term. But the end result of that is that the percentage increase in gross profit dollars in fiscal 09 compared to fiscal 08 will be less than the percentage increase in sales which does have an impact on your operating margins. The galaxy business within the commercial market, although growing at rates less than we expected is still a growth area and one we continue to be optimistic on over the long term, just not at the levels we were thinking three plus months ago. In our transportation and schools and theaters business, we continue to expect that our long term growth will total more than 15% per year. We’ve got some nice innovative initiatives going on with video products in high schools and we could see some upside from this product offering over the next few months. In our international business unit, keep in mind, because of its dependence on large contracts and a small base, performance results can vary a lot. We booked almost $27 million in orders in Q4 which is over half the business for the year. Over the entire fiscal year 09, we see sales increasing by more than 20% and we think it could grow higher than that given some of the key relationships we’ve developed overseas over the last fiscal year. Moving on to gross profit, we expect gross profit declining in fiscal 09 slightly due to the things I mentioned, the large sports projects, the decline in billboard margins, the investments we’re making in efficiencies and manufacturing quality and other areas. But as most of you know, gross margin is difficult to project on large projects. Partially offsetting the decline in margins we expect lower warranty costs as a percent of sales improvements in our field service organizations as well as some of the other benefits in manufacturing. So we see them declining slightly from the 08 levels. I want to talk next about the restructuring of the field service organization and how that affects our cost structure. As Jim mentioned, the immediate changes that those people who have been in sales and service were charging some of their costs on payroll to selling expense.  That expense is going to shift out of selling expense due to the change in role into costs of goods sold. We don’t expect this to impact net sales overall as the people remaining in selling will focus on selling as opposed to service. But the short story of this is approximately $800,000 of quarterly selling expenses from Q4 will transfer out of selling expense into cost of goods sold. So, all things being equal and with no increase in spending you would see selling expense decline $800,000 but gross profit margin picking up the difference. Our plan then over the fiscal year is to drive a lot of efficiencies in the field services area so that as service needs increase we can leverage the resources better and gain a lot of operating margin out of it. Should start seeing this happen in the second half of the fiscal year, potentially even into the second quarter. Looking at SG&A for the year, we’re working very hard to keep total SG&A after the adjustment I mentioned at 12% or less growth year over year and we’ve set more aggressive targets internally for our management team. On operating margins then we announced and 8-9.5% range for the year. I want to caution you on the range for the year. With our business there’s a great deal of factors that can impact this. We’re in the large contract business and lots of things, primarily in the gross profit margin that can impact that. I expect that we’ll continue to talk about our range for the year as we move forward each quarter. Ultimately our goal is to increase that and but of more importance as evidenced by last year’s free cash flow, historically has been a key driver for us and ultimately that is the main key driver in our minds. Regarding some non-operating expenses, interest, if you note we’ve paid down all our debts this last quarter which is wonderful to be back in that position, so interest expense should decline. And also the losses that we’ve incurred in equity method investments should decline. Our main equity investment right now is FuelCast which has got some exciting things going on right now, including a pending merger with another organization called [Bouton] which manages digital networks in retail establishments and fast food networks and we’re excited about that and in fact the management of FuelCast is looking to raise additional capital for the next round of deployment of displays around the country. Just a quick comment on taxes for the fourth quarter, see our effective was much better than we expected. Realized some benefits on the international side because of the level of income there and then we ended up with lower than expected effective state tax rates and some other adjustments we made in connection with our year end analysis. Going forward, we expect the 35-36% range. Our cash flow for the year was strong, we’re pleased we were able to pay down the bank debt as I mentioned and expand our cash. For those of you that go back with us three plus years, you know how important cash has been historically for us. We’re continuing the focus on cap ex and for fiscal 09 we’re looking at something less than $42 million for cap ex. In addition, we think that we can liquidate a few assets that we’ve got that we can monetize and potentially generate up to $5 million. On a net basis, fixed assets look to be in about the $37 million range. As you can see in the release we did not provide quarterly guidance but have continued our practice of annual guidance. We’ve been evaluating this for quite some time and given the events of this last fiscal year and quarter we felt it was the appropriate thing to do. As you know, our business has volatility to it in shorter periods of time but over the long term these swings tend to average out, provide a smoother long term result. Two final housekeeping items, fiscal year 2009 will be a 53 week year and therefore in our first quarter, instead of the usually 13 week period it will be a 14 week period. So in understanding the results of the first quarter, understand we’ve got an extra week in that quarter. Generally speaking our operating expenses therefore expand by that extra week but we get the higher sales and gross profit dollars as well. Finally, Jim Morgan is scheduled to present at an upcoming investor conference in Nantucket sponsored by Wachovia and also we’re arranging a couple of investor trips over the next few weeks and so we’ll be out there on the road hopefully talking to a lot of investors about the exciting things we’ve got going on for fiscal year 09. With that I’ll turn it back to the operator and open it up for questions.
Operator:  (Operator instructions) Your first question comes from Michael Friedman – Noble Financial.
Michael Friedman – Noble Financial: Can you give us a little bit more color on what cause the year over year sales increase in international business. Was there something in particular that helped out there?
Jim Morgan:  Again we look at this as kind of two fronts. We have the European front and then the Asian front. In Europe we had really the [JC Decole] project was a really nice project for us that we didn’t anticipate at the beginning of the year and of course we didn’t have anything in that area the year before. Also we’re doing some nice work with the London organizing committee that is putting displays out in some city centers around the UK. And that was some nice revenue. And on the Asian side, primarily China, we had a couple big projects that came in there. Towards the end of the year we had a couple that came in and Bill mentioned the $27 million that we booked in the last quarter. Not all of that of course went into revenue but the CCTV which is the China television network, they’re building a rather, it’s very unique actually, building, I mean landmark in Beijing and we have the, are doing the displays for that project. And then also a very large project for one of the new Beijing railway stations that is going to be completed in time for the Olympics. In fact we’re just finalizing the manufacturing and shipping of that project here as we speak. So those are a couple nice big projects. But as Bill mentioned too, there tend to be big projects so there’s some swings from quarter to quarter in what we see there and we expect there’ll be some swings going forward.
Michael Friedman – Noble Financial: Can you give us a little bit more of a sense for what types of jobs are in the backlog though, you had mentioned some of the large professional sports teams, is there anything else on the large side and can you give us any visibility on what the electronic billboard backlog looks like?
Bill Retterath:  Well the backlog in billboard at the end of the year looks great where our orders vastly exceed the sales. But overall we expect that business to grow somewhere north of 20%. So I think in terms of order volume there was a spike up in the fourth quarter.  I don’t think that $30 million plus should equate to $30 million plus of recorded throughout fiscal year 09. It’s part of the volatility of orders, sales tends to be smoother. But we look for 20% plus increase in that business unit on sales for the year.
Michael Friedman – Noble Financial: Are there other large orders that are part of that backlog? I’m trying to get a sense for the timing of some of that coming off the backlog into revenue.
Bill Retterath:  Yes, the big orders in the backlog are the largest ones are still the Mets and the Yankees and some still left on the Colts. University of Minnesota which moves to the third quarter and the Beijing project is still got $5 million or so left in backlog. So there’s a number of large projects in backlog.
Michael Friedman – Noble Financial: As far as the gross profit margin, can you just delve a little further into that? On a year over year basis it narrowed, can you tell us what caused that, was it a sales mix or were there other issues?
Bill Retterath:  Fiscal 07 versus 08 margin?
Michael Friedman – Noble Financial: The fourth quarter.
Bill Retterath:  Overall on the fourth quarter we had announced that we thought margin would go down a little bit. You know it was, that’s influenced a lot by these large projects number one. Number two is we still had some warranty expenses in Q4 and then the third item that impacted us and we kind of alluded to this earlier in our April release that we didn’t get the sales we had expected earlier in the quarter in our live events and international business unit.  So we didn’t quite get the absorption that we wanted which hurts us in terms of variances and things like that in manufacturing. So we had ramped up in preparation to do more in sales and we just weren’t able to get those sales at the levels we had sought. So those are the three main things.
Michael Friedman – Noble Financial: You alluded to the fact that you expect to continue to get more operating leverage, can you give us a sense, do you think you can get to, continue to grow that and do you think you can, if you get to the top end of the range for this fiscal year, do you think you could approach 10% operating margin in fiscal 2010?
Bill Retterath:  Our goal and what we’re all about is to drive to that Michael. A lot of it is going to, our ability to execute on that is going to be dependent on the ultimate sales level. Fortunately we’re in a market opportunity there that has a lot of opportunities out there. They’re just large projects and are always hard to predict. So there’s certainly a lot of business out there and growing the top line while keeping the SG&A.  And now including this year we’re also going to really focus on our product development as well and so yes if we can get those incremental sales and keep SG&A in line, we can do it. So there’s plenty of opportunity and we’re not at all diminished in our goal to achieve that level plus.
Operator:  Your next question comes from Jim Ricchiuti – Needham & Co.
Jim Ricchiuti – Needham & Co.: Regarding the $80 million of potential orders in the large projects portion of the business, does that include the football stadium deal which I think most people are anticipating is going to be one of the biggest out there to date? So is that a big part of that $80 million and can you comment on the timing of when that could be awarded formally?
Bill Retterath:  Yes, that $80 million plus does include that project and these big projects as most of you know when we’re going through the, getting the Mets and Yankees orders firmed up, they take on a life of their own. So it needs to be fairly soon because the construction project is moving right along.  So I hesitate to give timing because if I would it would be like the end of the second quarter where I thought we’d book them in October and then end up going to December, January. So I do expect it in the short term though because there on constraints on instruction out on site.
Jim Ricchiuti – Needham & Co.: You I think eluded to in the digital billboard business some long term supply agreements that some of the customers had been willing to enter into. Have you entered into any of those agreements with one or more of your customers?
Jim Morgan: We have some longer term, it’s basically a volume type agreement.
Jim Ricchiuti – Needham & Co.: With respect to the international business, the growth that you’re talking about, how significant a growth driver do you anticipate the European billboard business to be in the current fiscal year?
Jim Morgan: Well certainly the potential is there Jim and it’s I guess based on how things are going in the US and the fact that people are seeing good ROI on the deployment of digital billboards and we’re certainly optimistic about what opportunity is over there and it of course in the end depends on what customers decide to do and how fast they decide to deploy. So I guess we’re cautiously optimistic about the opportunity there. We think it could be significant.
Jim Ricchiuti – Needham & Co.: To date or at least in the past quarter it’s been concentrated with one customer, do you anticipate adding any potential other customers in Europe?
Jim Morgan: Certainly there are other players over there and yes, the short answer is yes.
Operator:  Your next question comes from Steve Altebrando – Sidoti & Co.
Steve Altebrando – Sidoti & Co.:  Could you talk a little bit about how lead times are within the billboards segment?
Jim Morgan: Right now our lead times are out there, probably a little more than we would like them to be and we’re working to add, we are in the process and have been in the process of adding more capacity there and there’s primarily our Sioux Falls operation.  In fact we’re bringing on another module line down there, right now we’re actually moving a module line from Brookings that we were fully deployed here because we can feel we can deploy it more fully, or plan to deploy it more fully down in Sioux Falls. And so we’ve gone to a full shift structure on our first module line which is, we operate 24 hours a day for six days a week on that.  And we’re bringing this other module line up and that’s coming up, that’ll be operating by mid-June and then we start ramping up our shifts on that. So we’re in the process of ramping up our capacity there and our intent is to bring our lead time down. But we’re out there beyond the two month timeframe right now. Having said that, we try to reserve some flexibility in our schedules so we can handle an urgent situation once in a while too. But generally that’s where we’re at.
Steve Altebrando – Sidoti & Co.:  And do you have a digital billboard revenue number in the quarter?
Bill Retterath: It was approximately $22 million for the quarter was the revenue.
Steve Altebrando – Sidoti & Co.:  Can you talk just a little bit on some of these large sports projects, Mets, Yankees, the economics? I know you guys had mentioned there’s a long term strategic plan to build recurring revenue, maintenance revenue, is there any component that goes with this, a hardware type maintenance or support or anything?
Jim Morgan: Typically in all of our business we offer service agreements and in some cases these service requirements, a certain amount of service requirement, maybe could be a couple three years. Depends on the contract or part of the original deal. So that varies as to how they’re structured. But again service is just a few percent of our total revenue so I don’t want to get that out of perspective.  But it’s important certainly from a maintaining good customer relationships and we do believe it’s an area that we can grow over time and we can also, as I mentioned, it’s an area that we believe we can become much more cost effective about how we’re going about it.
Steve Altebrando – Sidoti & Co.:  In terms of the general lumpiness you guys see from quarter to quarter, is there any sense right now of how the revenue will flow out over the next few quarters. In other words, is it likely to be that this next upcoming quarter will kind of be on the lighter side in comparison to the next three?
Jim Morgan:  Q2 is typically our biggest quarter. And again as I mentioned we’re doing some ramp up and we’re actually bringing on two module lines this quarter and they’re both going to be coming up in mid-June.  So we’re a little more of in a ramp up mode here yet in Q1 and we have both of those functioning, not at a full around the clock mode in terms of shifts, but they’ll both be functioning in all of Q2. So at this point we’d expect Q2 to be a real strong quarter in terms of revenues.
Steve Altebrando – Sidoti & Co.:  But a little constrained in the first quarter?
Bill Retterath:  Just to clarify though, remember, it’s a 14 week versus 13 week so factor that in if you would. But otherwise yes, what Jim was saying.
Jim Morgan:  And then third quarter, just again, the challenge you have in the third quarter we’re basically, here first quarter we’ve got an extra week well third quarter because of the holidays essentially we have less one week. So that’s the factor you have to plug in on Q3. At this point it looks like we should have, we’re expecting to have a good backlog of work to do going into Q3. Of course it gets a little less here as we get out that far but I guess we’re optimistic about having good work to do in Q3.
Steve Altebrando – Sidoti & Co.:  The other income loss from FuelCast is that sort of, I know you said that that segment is improving some but can we kind of assume the next couple quarters that should be the run rate, what we’re seeing right now are you expecting quicker improvement?
Bill Retterath:  No, it’s quicker improvement actually. There’s been some exciting things going on with FuelCast with the revenue generation and the partnership that we have there with NBC. So we haven’t compiled complete estimates and there’s still, that’s a relatively new business but it wouldn’t surprise me if our losses were cut in half going into the next quarter. But that might be aggressive because we’re trying to deploy a lot of digital displays in that business. There’s a lot of good things going on, let me leave it at that.
Steve Altebrando – Sidoti & Co.:  Do you think it’s possible to break even by the end of the fiscal 2009 sort of at a break even rate?
Bill Retterath:  Yes, certainly from a cash flow perspective which is more of what our focus is there. As I recall, we get there relatively soon.
Operator:  Your next question comes from Jim Boyle – C.L. King & Associates.
Jim Boyle – C.L. King & Associates: You had mentioned with the backlog, digital billboard deliveries have been pushing back deliveries a bit, has it gone from 60 to 90, 60 to 120 days and how is it compared to client expectations?
Jim Morgan:  Again we try to maintain some flexibility and interestingly enough even though we have, our lead time is out there probably its north of eight weeks and if we had it down under eight weeks prior to that. But interesting enough at the same time we have a lot of finished digital billboards that are ready to ship and waiting for site preparation.  So one of the challenges in that area is the synchronization of the work on site and site work is the least predictable of all of the process of putting a digital billboard up. And that’s not something that we do, the customer does that. But nonetheless we have to coordinate closely with them on that and they give us their best estimate and we try to have the product ready to go when they’re going to want it.  And if things are going on site then we end up with some finished goods sitting there. And that can be significant at times because we’re running these off the line at a couple of days so it adds up in a hurry if we have some delays there.  But also adds to the uncertainty of how revenue hits our bottom line because we’re doing a lot of those now and as standard orders, where they’re revenue upon shipment as opposed to a percent complete on costs. So as far as the lead time, I’d say we’ve gone out a couple three weeks here over the last few months. 
Jim Boyle – C.L. King & Associates: And is that within expectations of clients or are they starting to get nervous?
Jim Morgan:  We have our major customers all covered. The challenge might be sometimes some of the new clients to make sure we can accommodate them. But again we maintain some flexibility in there. Again sometimes it might take 12 or more weeks for a customer to get a site ready, so we try to maintain a little flexibility so we can link up our performance to what the actual site schedule will be. So generally we’re able to meet customer expectations, that’s certainly our focus.
Jim Boyle – C.L. King & Associates: The press release noted this new $30 million plus digital billboard record level verse previous $22 million. Is that all inside of the commercial orders of $46 million fiscal Q4 or is part of that the [JC Decode] digital orders which are still perhaps in the international $20 million?
Bill Retterath:  That is all in the commercial business unit and would not include European orders which is in the international unit. Now that being said, there weren’t material orders in the billboard component of our international business unit during the quarter as I recall.
Jim Boyle – C.L. King & Associates: That $30 million verse the prior $22 million, was that a record just in fiscal Q4 or any quarter?
Bill Retterath:  Any quarter.
Jim Boyle – C.L. King & Associates: And as you many know, Lennar is forecasting about 40-50% more digital billboard installs in 08 and Clear Channel Outdoor is doing about 40% more target for this year. Do you see any acceleration in the digital billboard momentum lately given what your clients are doing?
Jim Morgan:  Our view is that the major clients are continuing to move forward with their plans and I don’t know that there’s a change in the rate of deployment or rate of growth in the area but certainly they continue to be quite aggressive about rolling out digital displays.
Jim Boyle – C.L. King & Associates: What is typically the margin range of some of these really big sport stadium projects, let’s say anything north of $5 to $10 million, either on gross or operating income margins?
Bill Retterath:  Gross margin they vary pretty widely but they average well less than our corporate average. There’s a great deal of range to those. When you get into those big projects there’s really no speculation, let’s say we average X amount so we should be in that area. Each one is unique and in and of itself an independent animal.
Jim Boyle – C.L. King & Associates: And when you are doing some of these retail and fast food digital displays, who’s your two or three big competitors in that sector?
Jim Morgan:  There’s a number of competitors in what we call our galaxy business which is the smaller retail on premise displays. There’s a company called Watchfire, a domestic company, Optech which is an Asian company, Hightech is another domestic company. All these are, the domestic companies are privately owned, essentially all privately owned. Those would be three of the major competitors there.
Jim Boyle – C.L. King & Associates: And as you look forward during these recessionary times, which one of your divisions is most economically sensitive to those challenging times domestically?
Jim Morgan:  I guess the one area that we think may be affected by it a little bit is what we call, it’s our galaxy business or we call it our reseller business where we sell through sign companies. And what we’re getting from feedback from our sales people is that there’s, they don’t really see the business going away but maybe decisions are being delayed, people maybe aren’t pulling the trigger quite as fast so that’s delaying some things.  So that’s one area we think may have some effect there but again it’s hard to quantify because we don’t hear people saying well because of the economy we’re not going to do this. We haven’t had those kind of specific feedbacks.
Jim Boyle – C.L. King & Associates: And the galaxy slash reselling is roughly what percentage of your business?
Bill Retterath:  The reseller business was roughly, I think it was around $50 million, $55 million last fiscal year. We’ve got one more question to take, maybe I’ll follow up and get you the exact number on how it turned out Jim, but it was in that area.
Operator:  Your last question comes from Steve Dyer – Craig-Hallum.
Steve Dyer – Craig-Hallum: Domestically on the digital billboard front are you seeing any changes in the dynamics of competitors, anybody new, do you still feel like your market share is what it has been?
Jim Morgan:  I’d say if there’s anything we’re seeing just really increased aggressiveness. Obviously there’s a number of competitors really would like to have a part of the business and they’re being very aggressive to find a way to get their foot in the door. So that’s probably the biggest change we see.  Obviously we work very hard to take care of our customers that we have and we’ve continued to improve our products and have a product that continues to perform and do features and functions and so we’re also being aggressive about how we’re moving forward.
Steve Dyer – Craig-Hallum: Is there anyone specifically you feel like is legitimate?
Jim Morgan:  I think any of those that I mentioned are all, everybody thinks they’re legitimate so it’s going after it. So I guess it depends what they have to offer. And again sometimes people will, there’s the tier one, big top tier billboard company, there’s a lot of smaller billboard companies as well and people make decisions for different reasons.  Price, in cases of very low price, we’ll get an order. So there’s a lot of reasons people might decide to buy. So I expect that these competitors that are going after, we’ll get some business.
Steve Dyer – Craig-Hallum: And then in Europe it sounds like the initial order from [JC Deco] is going well. There hasn’t necessarily been a follow up order yet, is that right?
Jim Morgan:  That is correct on both counts yes. From our perspective we believe it has gone very well. It was installed over there well, turned on well and they’re operating well. So we’re cautiously optimistic at what could happen there.
Steve Dyer – Craig-Hallum: And then you talked a little bit about the sensitivity in the galaxy business to the economy, have you seen any softness in the schools and theater business given what’s going on with municipal budgets right now?
Jim Morgan:  It’s important to keep in mind that high school scoreboards for the most part are not paid for through government funds. They’re typically paid for through sponsorships and advertising or maybe booster clubs, that sort of thing. So they’re not really tied to the government budgets.  I think it’s probably a safe statement that almost every state in the union unless they have a lot of oil money coming in which is not so common in the US, has budget constraints especially as far as the education system. So that’s a good question.
Steve Dyer – Craig-Hallum: And then it sounds like a little over $40 million in cap ex this fiscal year, is that what you had kind of viewed to be sort of a maintenance cap ex number or are there still some build out going on?
Jim Morgan:  No there are some build out in that. And of course some of these things we have in the budget will be reviewed yet and this year or in FY08 we actually didn’t spend everything we initially had in the budget and it’s possible that will happen in 09 as well. For example, we’re looking at a small addition to our Redwood Falls factory to allow us to have a little more flexibility over there, give us a little more ceiling height in the final assembly area so we can build some larger displays over there.  That’s one thing we’ve got and then we’ve got some new electronics assembly equipment that will come online through the year. So some of that’s for adding capacity and then there’s always some that’s the maintenance mode. IT of course is I would say maybe not quite one-fourth of our budget it’s close to 25% of the budget and some of that is just maintaining status quo with technology which is a big ticket item. 
Steve Dyer – Craig-Hallum: And then I guess kind of looking out beyond this fiscal year, anecdotally, how do you see the new major stadium pipeline shaping up because as I’m looking around it kind of seems like a lot of the big projects that we’ve had on our radar here for the last two or three years are coming to fruition, what are you guys, what are your sales guys seeking out beyond this year?
Jim Morgan:  Well we’re hearing that the guys that design stadiums are still real busy. We’re hearing that. And certainly there have been a number of big ones that have gone down here in the last few years. We’re also seeing again bigger systems going in at smaller, what we typically think of as smaller facilities.  Again the University of Minnesota as an example, that’s an $8 million project at a university. So we’re seeing this kind of the trickledown effect where there are higher expectations at these other sporting facilities. So at this point we see that there’s opportunities out there and these really large projects just kind of raise the bar for other facilities.
Steve Dyer – Craig-Hallum: And then my last question, this quarter for the second time in the last four or five quarters you’ve guided down only to end up posting results that have been pretty much in line with your prior guidance and I’m just wondering what happened in that last week of the quarter that $0.05 to $0.09 all the sudden turned into $0.14 and is there that much kind of flurry of activity in the final days or any color there would be helpful.
Jim Morgan:  I think it goes to the point we’re, our business has grown a lot in the last few years as I mentioned and it’s very complex. We have five final assembly factories, we’ve got another factory, our electronics assembly factory that feeds those.  We’ve got each of our factories serves, is really we think of them as being owned by one of the business units but they provide product into other business units. So it’s a rather complex matrix. In addition to that we have some of our business that’s taking the revenue as percent complete, some goes to revenue upon shipment.  And in fact in our billboard business we’ve had an evolution there as we’ve standardized our product, we’ve been taking, going from the percent complete to the revenue on shipment. So we’ve got a lot of moving parts and as we mentioned one of our initiatives here is just sales and operations planning and we need to find better ways to model this and I guess what we demonstrated here in the last six weeks is that we don’t have a perfect model for seeing exactly how the timing of how these things are going to hit the revenue line.  And we know what’s out there, we’re working on it, we know what’s in the plants but exactly how these things hit the revenue line is a challenge for us to model real well right now. And we’re going to do better at that but having said that, that’s why we’re going away from this trying to be so precise with our quarterly guidance because it’s a real challenge.  The one variable that won’t change, will always be an uncertainty is the customer’s decision timing. And so even if we get everything nailed down tight and predicting exactly what’s going on operationally, that’ll still be a factor that will always be there. So bottom line, summary of that is we just need to find better ways to model exactly the timing on how these things are happening.
Bill Retterath:  If I could just follow up on Jim Boyle’s question. Jim Boyle had asked our sales for the year in the reseller market, focus on galaxy displays, that was just under $50 million. So $50 million is a number there.
Jim Morgan:  Okay, well thank you all for your questions. Again just kind of in closing, this year in retrospect was a great opportunity for us with a somewhat slower growth rate after the prior two years that were really extremely fast growth for us. And it gave us a chance to give more attention to operational efficiencies, not only in manufacturing but in the office as well as we looking at many of our business processes and we continue to do that. As we enter 2009 we’ve got a very solid base to work from based on the investments and improvements we’ve made over the past few years and we’ve got an excellent backlog to start the year. We’re in a good position to handle the growth we’re projecting and while continuing a strong emphasis on the efficiencies that we need to bring along with that growth. Our top priorities going forward are from a financial perspective to improve the operating margin and to drive free cash flow. So we’re much better able to quantify what our capabilities at each of our plants, given that we’re still challenged with the precise timing on some of these things, but overall we have a much better handle on what our capabilities are there. We’re better positioned than ever before to serve our customers and we’re looking forward to an exciting fiscal 2009. I might add that there’s, we’ve been told that there’s going to be a show on Discovery Channel tonight at 7:00 pm and there was a Discovery Channel was in to film the manufacturing of the Kansas City Royals video display and so that you can check out at 7:00 pm, that’s when we’ve been told is it will be playing at that time. And with that we’ll bring the call to a close. Thank you for joining us this morning.